Operator: Hello, and welcome to the Superior Industries Fourth Quarter and Full Year 2022 Earnings Teleconference Call. My name is Caroline, and I'll be your coordinator for today's event. We're joined this morning by Majdi Abulaban, President and CEO; Tim Trenary, Executive Vice President and CFO; and Joanne Finnorn, Senior Vice President, Investor Relations, Sustainability, Corporate Secretary. Please note, this call is being recorded, and for the duration of the call, your lines will be on listen-only mode. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand over the call to your host, Joanne Finnorn, to begin today's conference. Thank you.
Joanne Finnorn: Thank you. Good morning, everyone, and welcome to our fourth quarter and full year earnings call. During our call this morning, we will be referring to our earnings presentation, which along with our earnings release, is available on the Investor Relations section of Superior's website. I am joined on the call by Majdi Abulaban, our President and Chief Executive officer; and Tim Trenary, our Executive Vice President and Chief Financial Officer. Before I turn the call over to Majdi, I would like to remind everyone that any forward-looking statements contained in this presentation or commented on today are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to Slide 2 of this presentation to the full Safe Harbor statement and to the company's SEC filings, including the company's current annual report on Form 10-K for a more complete discussion of forward-looking statements and risk factors. We will also be discussing various non-GAAP measures today. These non-GAAP measures exclude the impact of certain items and therefore are not calculated in accordance with U.S. GAAP. Reconciliations of these measures to the most directly comparable U.S. GAAP measures can be found in the appendix of this presentation. With that, I'll turn the call over to Majdi to provide a business and portfolio update.
Majdi Abulaban: Hey, thanks, Joanne, and thanks everyone for joining our call today to review our fourth quarter and full year results. Starting on Slide 5 with the full year highlights. During 2022, the Superior team faced unprecedented industry challenges head-on, including lower volumes, inflation, schedule volatility and challenging dialogues with customers related to customer recoveries. I am truly proud of the hard work of our teams and the results we have delivered. These results are the combination of our efforts in executing priorities laid out in our value creation roadmap, building on a solid foundation, driving operational excellence and delivering profitable growth. Our portfolio strategy continues to play out. Demand for our premium products has enabled us to deliver content outgrowth for the fourth year in a row. In 2022, we delivered 8% growth in value-added sales, driven by demand for favorable wheel mix and by customer recoveries. During the year, we realized 14% content growth per wheel and saw continued increase in demand for larger and premium wheels. On the profitability front, our teams tackled an exceptionally challenging operating environment, successfully negotiating customer recovery and responding to cost pressures with ever-increasing focus on lean and continuous improvement. Our collective efforts resulted in a strong multiyear high adjusted EBITDA of $194 million and 25% [indiscernible] margin, a significant year-on-year growth in earnings and margin expansion. I am also pleased with the results of our team's continued focus on cash flow. Through improved profitability, working capital management [and prudence] (ph) in capital expenditures, we generated more than $80 million in free cash flow, improved our cash position to $213 million and reduced net debt to $434 million, a $68 million reduction versus the prior year. These improved results have strengthened our financial position, enabling us to attract $400 million in capital to refinance our term loan. The extended maturity of our term loan and the strong cash balance provides us with confidence and flexibility in the coming years as we execute our strategies and tackle industry challenges. In terms of 2023, we remain cautious about how macroeconomic factors, including heightened interest rates and input costs, will impact automotive industry production. While some of the industry supply chain challenges are abating, we are still seeing continued choppiness in volatility. The industry is not out of the woods yet. In fact, we are anticipating very little growth, if any, in our markets. Specifically, we expect a declining market in Europe and a flat one in the U.S. Further, tackling cost inflation, especially energy, through continuous improvements and negotiated [affirmative] (ph) price adjustments will be paramount. Now on to Slide 6 with the fourth quarter highlights. Despite a volatile and choppy production environment, our team's commercial and cost discipline delivered solid performance in the quarter. While industry volumes increased 11% versus the prior year, we actually grew FX adjusted value-added sales by 22%, while also driving substantial earnings growth and margin expansion. Successful negotiations with our customers for cost recoveries in the quarter, which by the way tend to be very choppy, and for prior periods [contribute] (ph) to these results. Further, as I noted at the beginning of this call, we continue to leverage our innovative portfolio to drive content growth, with content per wheel increasing 26% versus the prior year. Turning on to Slide 7, which highlights industry production by region and how our differentiated portfolio of product technologies is driving content growth. In the fourth quarter of 2022, while we saw notable increases in industry production on a year-over-year basis in both North America and Europe, we outperformed in both regions. Combined, we achieved 11% growth over market in the fourth quarter and normalizing for [Technical Difficulty] recoveries, a three-year CAGR of 8% growth over market. Moving on to Slide 8 and looking further in our current operating environment. Globally, industry production has finally started to rebound for the first time since 2020, yet remains far below pre-COVID levels. We continue to face a difficult operating environment, marked by headwind noted on this slide, most notably, elevated input costs and ongoing disruption in Europe. That said, substantial tailwinds remain, including the aging of semiconductor supply constraints coupled with solid demand for premium wheels and the benefit of our local for local manufacturing footprint, which I'll touch on a bit later. We will continue our efforts to capture these long-term tailwinds in '23 to position Superior for long-term growth. Moving on to Slide 9 to address progress on our multiyear value creation roadmap. Our team has continued to consistently execute on our strategic priorities laid out here. From an operational excellence standpoint, we continued our focus on cost discipline and continuous improvement initiatives. Further, commercial discipline has also been a key success factor for us, supporting our multiyear solid margin expansion. Beyond operational excellence, we have maintained focus on driving profitable growth. We truly believe we have the broadest portfolio in the industry, enabling us to benefit from the continued secular trends towards larger and lighter wheels with premium finishes. Further, our local for local manufacturing footprint is well established and remains a tailwind as major customers seek to [dealers with] (ph) long supply chains. Due to recent update in EU legislation, substantial duties are now imposed on wheels imported into Europe from both China and Morocco, two key regions where our competitors operate. In line with our local for local strategy, we manufacture wheels in proximity to our key customer facilities and do not [indiscernible], resulting in a competitive advantage. Slide 10 is [indiscernible] and quantifies the progress we have achieved since we first rolled off our value creation roadmap back in 2019. This foundation has enabled our recent financial performance, delivering earnings growth despite a significant decline in industry production. Further, we have made the right adjustments to our business and implemented changes to the cost structure to support profitability. Against an 18% decline in industry unit shipments since 2019, our FX adjusted value-added sales has increased 8%, adjusted EBITDA margin has expanded by 280 basis points, and content per wheel has expanded 33%, collectively enabling us to reduce net debt by $120 million, and to refinance a significant portion of our capital structure. This remarkable performance, and it's one of the most challenging operating environment our industry ever faced, gives us great confidence in Superior's ability to deliver long-term profitable growth. Slide 11 highlights the combination of our portfolio strategy since 2019 manifesting in 33% content growth per wheel. We have continued to deliver technologies that meet increasing demand for larger and lighter wheels with premium finishes, with each of these technologies steadily making up a larger share of our portfolio. Slide 12 highlights how new launches have continued to reflect the continuing adoption of our technology and the growing diversity of our customer base. Over two-thirds of our launches you see on this chart in '22 included large diameter wheels and more than 50% included lighter and premium wheels. Slide 13 highlights progress towards our sustainability goal for the year. Our team's focus on safety has enabled us to reduce recordable incident rate by 50% since 2018, an industry benchmark. We also continued focus on sustainability using renewable energy. 82% of our electricity is now procured from renewable sources. Further, our focus on green products through our R4 strategy is yielding results. Our wheels on average actually deliver less [than] (ph) 50% CO2 footprint than the global aluminium industry average. Progress in each of these areas has continued to make us more attractive to global OEMs that are looking for partners with sustainable operations. We are planning to provide more detail on these achievements in our upcoming sustainability report, which we plan to publish later this year. I will conclude my remarks by addressing our full year 2023 outlook on Slide 14. As I noted at the beginning of the call, we remain cautious about how macroeconomic factors, including heightened interest rate and input costs, will impact automotive industry production levels. While some of the industry supply chain challenges are abating, we are still seeing continued choppiness in volatility. We are anticipating very little growth in any -- if any, in our markets, specifically, as I mentioned earlier, we expect a declining market in Europe and a flat one in the U.S. For the year, we expect adjusted EBITDA in the range of $170 million to $200 million, and cash flow from operations in the range of $110 million to $130 million. Our adjusted EBITDA and cash generation, while still above historical levels, will be impacted primarily by lower customer recovery versus 2022. Tim will provide more color on this later. In closing, I am very pleased with the impressive results our team delivered this year in the face of unprecedented challenges. I would like to thank every member of our Superior team for their efforts and hard work. We look forward to continuing our progress in 2023 as we generate long-term value to our shareholders. And now, I will turn the call over to Tim. Tim?
Tim Trenary: Thank you, Majdi, and good morning, everyone. By any measure, 2022 was a challenging year for our company. Light vehicle build in our markets remained depressed for the third year in a row, down almost 20% from pre-COVID levels. Supply chain disruptions, including semiconductor availability, gave rise to significant OEM vehicle production volatility. The cost of aluminum in our wheels skyrocket, as did the cost of energy to manufacturing the wheels, especially in Europe. General inflation, including wage inflation and the cost of resins in the wheel coatings, ramped up in the back half of 2021 and continued throughout 2022. About half of our business is in Europe. The euro crashed during the year, dropping to as low as $0.98, the lowest in 20 years, thereby, deflating European sales and profits. And finally, the capital markets became choppy during the year and still are. Notwithstanding these headwinds, the Superior management team, in large part, through the extraordinary efforts of our commercial and procurement organizations, protected the company's margins. As a consequence, funds managed by Oaktree Capital Management, L.P. provided the capital for a $400 million senior secured term loan, extending our momentum and advancing our growth strategy to drive shareholder value. Let's have a look at how the company performs financially in the aforementioned business environment. The number of wheels sold, sales and profit for 2022 can be found on Page 16, fourth quarter and full year 2022 financial summary. In the fourth quarter, wheels sold were 3.7 million, down 5% compared to the prior year period. For the full year, wheels sold were [15.6] (ph) million, down 3% from the prior year. More than all the decline in wheels sold is attributable to Europe, primarily because of the aftermarket business. The company's European aftermarket business benefited in 2021 from problematic logistics experienced by exporters of aftermarket wheels in the Europe, primarily the Asian manufacturers. Because of the 2021 aftermarket wheel supply constraints, aftermarket sales in 2021 were about 15% higher than expected. Conversely, in 2022, the company's European aftermarket sales were about 20% lower than expected because of the improved logistics for the aftermarket wheels orders, a warmer winter, recession worries and the impact of consumer inflation on the ability of consumers to afford winter wheels. Net sales increased to $402 million for the quarter compared to $368 million in the prior year. For the full year, net sales were $1.6 billion compared to $1.4 billion in the prior year. The increase in net sales is primarily due to the pass-through of higher aluminum costs to our customers, especially earlier in 2022, [weaker euro] (ph) weighed on net sales in 2022. Value-added sales increased to $218 million for the quarter compared to $189 million in the prior year, a 16% increase. For the full year, value-added sales were $771 million compared to $754 million in the prior year, a 2% increase. Value-added sales in 2022 benefited from the pass-through of cost inflation to our customers, especially in the fourth quarter and higher premium [indiscernible]. During the fourth quarter, we reported net income $17 million or earnings per diluted share of $0.25 compared to a net loss of $4 million or a loss of $0.48 per diluted share in the prior-year period. For the full year 2022, we reported net income of $37 million or earnings per diluted share of $0.02 compared to net income of $4 million or loss per diluted share of $1.17 in the prior-year period. The loss per diluted share in 2021 arises from value accretion of and dividends paid on the preferred equity. Page 17, fourth quarter year-over-year sales bridge. Value-added sales increased $218 million from $189 million, an increase of 16%, notwithstanding fewer sales of wheels than in the prior-year period. Before giving effect to the impact of currency, value-added sales were up 22%. Volume/price/mix, $38 million, benefited from pass-through of cost inflation to our customers and higher premium wheel content. The weaker euro weighed on value-added sales by $9 million and the higher cost of aluminum, $5 million, was passed through to our customers. The full year 2022 year-over-year sales bridge is on Page 18. Value-added sales were $771 million, up 2%, notwithstanding fewer wheel sales in the prior-year period -- from the prior-year period. Before [giving] (ph) effect to the impact of currency, value-added sales were up 8%. Volume/price/mix, $58 million, benefited from pass-through of cost inflation to our customers and higher premium wheel content. The weaker euro weighed on value-added sales by $42 million. Higher aluminum costs of $239 million in 2022 compared to 2021 passed through to our customers. On Page 19, the fourth quarter 2022 year-over-year adjusted EBITDA bridge. Adjusted EBITDA in the quarter increased to $58 million, a 26% margin, expressed as a percent of value-added sales compared to $37 million, a [30%] (ph) margin in the prior-year period. The improvement in adjusted EBITDA and the associated margin expansion is comprised of $36 million in performance, offset in part by $8 million of unfavorable volume/price/mix and $7 million of unfavorable metal timing. The unfavorable volume/price/mix reflects fewer wheel sales in the quarter, primarily aftermarket wheels. The metal timing reflects a mismatch in the quarter of the cost of metal to Superior and the amount of that cost passed through to customers. In periods of rapidly changing aluminum costs, this mismatch will occur that tends to net over time. In this instance, in 2021, the cost of aluminum rose dramatically and, in 2022, the cost declined dramatically. Metal timing was favorable $7 million in 2021 and unfavorable $7 million in 2022. With respect to the favorable performance, pass-through of increased cost to our customers does not necessarily match the timing of the cost inflation, the cost of OEM production schedule volatility and lower fixed cost absorption on lower light vehicle build. Some of this performance in 2022 is recovery of the cost inflation and OEM production schedule volatility that began to ramp up in the back half of 2021. The full year of 2022 year-over-year adjusted EBITDA bridge is on Page 20. Adjusted EBITDA increased to $194 million, a 25% margin expressed as a percent of value-added sales compared to $167 million or 22% margin in the prior-year period. This improvement in adjusted EBITDA and the associated margin expansion is comprised of $57 million in performance, offset in part by $16 million of unfavorable volume/price/mix, $13 million of unfavorable metal timing and $1 million of unfavorable currency. The unfavorable volume/price/mix reflects fewer wheel sales in 2022, again, primarily aftermarket wheels. Metal timing was unfavorable $13 million in 2022, but favorable $9 million in 2021, so $4 million net unfavorable over two years, 2021 and 2022. As previously described, some of these favorable performance is recovery of the cost inflation and OEM production schedule volatility that began to ramp up in the back half of 2021. An overview of the company's fourth quarter and full year 2022 free cash flow is on Page 21. Cash flow from operating activities improved because of higher earnings in 2022 compared to 2021, but also with respect to the full year, improved working capital performance in 2022. Cash used by investing activities is similar in 2022 and '21, and continues to run lower than pre-COVID levels. Since the onset of the virus in 2019, we have run the business with an elevated focus on reducing capital intensity and, therefore, fewer capital expenditures. Free cash flow of $63 million for the fourth quarter and $80 million for the full year 2022 is significantly higher than in 2021. In a nutshell, free cash flow improved significantly in 2022 because of higher earnings, more effective management of working capital and lower capital expenditures. An overview of the company's capital structure as of the end of 2022 may be found on Page 22. Cash on the balance sheet at year-end was $213 million, an increase of $100 million from the prior year. Funded debt was $647 million at year-end and net debt [$434 million] (ph), a decrease of $68 million. We intend to continue to focus on deleveraging the balance sheet. After the end of 2022, liquidity, including availability under the revolving credit facility, was $231 million. Superior's debt maturity profile as of December 31, 2022 is depicted on Page 23. Our revolving credit facility was undrawn at year-end. We made a compliance with all loan covenants and had no significant near-term maturities of funded debt. Page 24, you'll find the company's full year 2023 outlook. Vehicle production in our markets is not expected to return to pre-COVID levels in the foreseeable future, so we expect flat light vehicle build in our markets than 2022. Almost somewhat diminished, the headwinds I spoke of earlier were specifically supply chain disruptions and the associated OEM vehicle production volatility and cost inflation, especially energy in Europe, remain a challenge. Euro has recovered some, but at $1.06 is still well below recent historical lows. We enjoyed considerable success in recovering cost inflation from customers in 2022 and have now pivoted to negotiating appropriate price increases to offset the cost of inflation, the cost of OEM production scheduled volatility and lower fixed cost absorption on lower light vehicle build. These negotiations are ongoing, and there is no assurance we'll be able to complete them successfully. With this as a backdrop, we expect to sell 15 million to [16.2] (ph) million wheels in 2023. Net sales are expected to be in the range of $1.6 billion to $1.7 billion, and value-added sales in the range of $755 million to $815 million, resulting in adjusted EBITDA $170 million to $200 million. The associated adjusted EBITDA margin expressed as a percent of value-added sales expected to be 23% to 25%. Cash flow from operations is expected to be in the $110 million to $130 million range, a decrease from 2022, primarily because of higher debt service costs. With respect to capital expenditures, we plan to invest $70 million in our business this year, including some carryover from 2022, as we continue to strategically invest in our business, especially finishing capabilities. This amount of spend, however, will be spent in part on the evolution of the business environment during the year and our ability to continue to reduce capital intensity and therefore capital expenditures. We model a 20% to 30% effective tax rate for 2023. In closing, Superior delivered very solid financial results in 2022, notwithstanding extremely challenging business conditions, and we attracted $400 million of capital to our company. Enterprise cost improvement and contiguous improvement programs continue to mature and increasingly are delivering cost reductions. Our commercial and procurement organizations protected the company's margins from cost increases, and the men and women who make our wheels effectively managed the OEM production volatility. Our disciplined operating teams and the operating leverage of this business, taken together with our premium wheel-making capabilities and therefore our product portfolio, position us well for the future, especially if light vehicle production recovers. Majdi and I are most happy to take your questions. Caroline?
Operator: Sure. Thank you. [Operator Instructions] We will take the first question from the line of Mike Ward from Benchmark. The line is open now. Please go ahead.
Mike Ward: Thanks very much. Good morning, everyone. Maybe to start off...
Majdi Abulaban: Good morning, Mike.
Mike Ward: Good morning. Your margin assumptions in North America and Europe seem to be well below what IHS is looking for. And I'm just curious, is that something you're hearing from your customers, or is that just being conservative on your part?
Majdi Abulaban: Mike, I think your question is not related to margins. I think it's related to growth outlook, correct?
Mike Ward: What did I say? Margin? I meant your market -- industry environment -- industry production. I'm sorry.
Majdi Abulaban: So, listen, Mike, we are using multiple sources to put our plans in place. IHS is just, in fact, one of them. IHS is predicting 5% for year. And for the last three years, they have been off. So, we tend to pay close attention to our customer schedules. We call them call-off. What we see -- I personally talk to a lot of the leaders in the industry. And, Mike, I would tell you, at this point, there is no conviction at a high level about how industry production will play out. I mean, we are in the third year -- I'm talking about the automotive industry, third year as recession level demand. And then, there is no recession. Core prices now today are up 28%. So, you got a massive affordability factor. The average payment is $750, that's up 35% versus what people used to pay not too long ago. So, I mean people would argue that these types of macro factors will weigh in on demand and some would say that you're looking at a 15 million [car] (ph). Inventory is up, right? Yes, demand is there, but inventory is up. So, we're very concerned. We're not seeing it from our customers. We're still seeing the volatility. We're still seeing the choppiness. The rest of the leadership in the industry is very skeptical. We have always taken a cautious approach, last year's guidance, this time we did, the year before we did, and we're going to continue to doing the same thing. So, we're thinking Europe is going to continue to be challenged and North America will be flat. But Mike, this is really about planning for our business, right? Our guidance does [indiscernible] hey, if it comes, you have a fantastic business year. [Multiple Speakers] Maybe, we don't get what we do. We make money. So, we are hopeful that the high end of the guide and that 5% that IHS is talking about will come to pass.
Mike Ward: Okay. And then, if you look at the European business in the fourth quarter, were your unit shipments positive to the vehicle manufacturers and negative to the aftermarket? Is that what the -- is that why we saw the -- on a unit basis underperformance relative to the market? Or is it...
Majdi Abulaban: Yes, the unit story in Europe is cloudy, right? Look last year, last year, we had a fantastic year with the aftermarket. Our aftermarket business was up 35%, and that largely, as you know, because of all these logistics and supply chain issues from Thailand and China. So, this year, it's reversed the other way around. Now, I would tell you, Mike, I think in terms of how our business does from a growth standpoint, we like to look at our sales, our value-added sales, and the content. The content story of this company is phenomenal, right? If you go to chart in 11, 33% growth in content every year, right, that we have -- we've been very persistent with our strategy. It's about certain products. We're following certain macro trends, lightweighting, larger wheels [indiscernible] in the numbers. If you don't want to use content per wheel, use growth over market, you look at versus what this company was in '21, we're up 20%. You look at the whole year, even though we had a fantastic growth year in '21, this year just alone, excluding the 20% growth in '21, we're still growth above market company. So, the unit is cloudy and the growth over market narrative for our company is not very clear on a quarterly basis. It needs more than a quarterly.
Mike Ward: Yes. Now, in the -- I assume the content -- the value-added content per wheel on the aftermarket side is lower than OE.
Majdi Abulaban: Slightly.
Mike Ward: Okay. And just one last question. When you look, Tim, on your charts with -- you had the bridge on the EBITDA, there were two things you mentioned. You mentioned the lower customer recoveries. Is there a way -- I assume that like on the fourth quarter, the $7 million metal timing where the volume/price/mix is $8 million, are the recoveries netted out against that? And so, when you say that recoveries will be lower in 2023, what is -- can you put any numbers around that?
Tim Trenary: So, the recoveries, just so you know, Mike, [are again] (ph) in the performance category, okay, the customer recovery.
Mike Ward: Okay.
Tim Trenary: And let me give you some [thoughtfulness] (ph) and color here on this. For commercial and other reasons, not the least of which is that the negotiations that we have with our customers with respect to the costs that we believe are subject to recovery and the time period for which we are seeking those recoveries is not specific in the negotiation. The way the negotiations ended up is they evolve into an amount and there isn't any specificity really with respect to which cost they pertain to and, frankly, which time period. So, some of the recoveries that we experienced in 2022 actually relate to costs that were incurred in 2021. Now, that's not a lot, the [lion's share] (ph) is 2022. But for sure, our performance in this year, in '22, was boosted somewhat because of this mismatch in cost versus recoveries in the period in which they occur. Now to your point about 2023, we have -- [as Majdi] (ph) mentioned, we have now pivoted in our discussions with the customers to instead of one-off recoveries of cost efficient, incorporating into the pricing in the wheels an appropriate amount, an amount that reflects the inherent increased costs in our cost structure, labor, material, energy, especially with respect to Europe, and frankly, the fact that they're building 15% to 20% fewer vehicles. So, that dialogue -- those dialogues are ongoing with respect to both the energy and the wheel price, that's for the rest of the cost inflation. And I would suggest to you that the best way to sort of get a handle on where we think all of that will end up is to use our guidance as a barometer on measurement. So, at $755 million to $815 million of value-added sales, assuming that we continue to be success with respect to our commercial activities, we would expect a margin of between, let's say, 23% and 25%. Now, having said that, I do expect that we're going to see some lumpiness from quarter-to-quarter as these negotiations are completed. So, we'll have some variation, I expect, from quarter-to-quarter.
Mike Ward: Okay. Thank you. That's very helpful. Really appreciate that, Tim. Thank you very much.
Majdi Abulaban: Thanks, Mike.
Operator: Thank you. We will take the next question from the line Gary Prestopino from Barrington Research. The line is open now. Please go ahead.
Gary Prestopino: Hey, good morning, everyone.
Majdi Abulaban: Good morning, Gary.
Gary Prestopino: Can you give us some idea with the new facility? What your annualized interest expense is going to [ring out] (ph)?
Tim Trenary: Sure. The pricing, Gary, is SOFR, which today is about 450 basis points, plus [800] (ph) basis points. So, that's 12.5%. Now, importantly, a year ago, we had the foresight to enter into $250 million of interest rate swaps at 300 -- SOFR 300. So, we are getting some benefit directionally today about $4 million a year benefit from those swaps, 150 basis points on $250 million of -- $250 million. So, the -- $250 million of swaps. So, I would say if you wanted to take a number, setting aside future Fed rate increases, I'd use 20 -- 12%.
Gary Prestopino: On the -- 12% on -- I mean, on the total debt? I mean, that's a lot there. I mean, all I'm really looking for is, what [indiscernible] are we looking at year-over-year?
Tim Trenary: All right. So, it would be absent the swaps on the term loan about $25 million, but because the swaps are in place at current SOFR, you can think of about $20 million, two-zero.
Gary Prestopino: Okay. So, that's not incremental. That's just a total amount of -- well, that would be kind of an increase in interest expense year-over-year?
Tim Trenary: $20 million incremental. Now, it assumes no further -- it assumes Jerome Powell doesn't raise the Fed funds rate, which probably is a little bit of an element of assumption. But again, the good news is any increase in the Fed fund rate, which ends up manifesting itself in SOFR, $250 million of the $400 million is insulated from the swaps that would only impact $150 million of debt.
Gary Prestopino: Okay. And then, a couple of more questions here. You've got kind of a very sanguine outlook for this year, and I understand fully the puts and takes and the challenges. But everybody I speak to in the industry is saying that they're seeing a betterment or improvement, at least on the retail side, inventories are moving up, sales are still pretty good. I mean, is your -- so far in Q1, is your sanguine outlook coming up to play in what you're generating in terms of units and sales?
Majdi Abulaban: Gary, it's a tough call. It's really -- I do understand your pull. There's a lot of noise actually, Gary, right? There is variation in the -- the impact of what we just talked about with affordability and vehicles and vehicle production, there's variation in customers. You look at Ford schedules, what they're facing. You've heard Nissan announce shutdown of a plant in Mexico, so public. GM shutdown their Fort Wayne plant. GM shutdown their Corvette plant because of supply chain issues. The Fort Wayne plant shutdown, but presumably because of inventory. Ford got issues that are very public. So, you talk to everybody and I said, I talked to my colleagues in the industry and at the very highest level, there is no conviction about how this will play out, it's great. It's very fun. So, we're taking a conservative approach. We're seeing a lot of choppiness in the schedule. It's not that the same level as it was 12 months ago, but it's still problematic. And what's unique about it is the variation between customers. So, it very much depends on our customer base, on a specific supplier customer base. But again, the guide is showing growth and I'm hopeful that this is the year we are wrong.
Gary Prestopino: Well, I mean, we hope so, too. I mean, you're not really looking at any kind of betterment in your financials that -- based on the guidance you're giving and it just appears that the industry probably bottomed in 2022 and starting a slow movement higher. All right. So, let me just ask another thing. I'm trying to get a handle on these cost recoveries here. You're saying these negotiations are ongoing, but again, it would appear that the peak levels of inflation and input costs and whatever are in the rear-view mirror. And as you're going into 2023 or in 2023, could you just help us out there with this whole issue where you're trying to get cost recoveries from the client, your end users? And it's obviously going to affect your margins, and then, I guess, to-date, how well has that been going?
Majdi Abulaban: So, Gary, let me first speak to this, and Tim can pick up, okay? So, the cost recovery story, as you can imagine, with everybody, it's complex, it's multifaceted, okay? Really two points I want to make with you. Number one is, at the highest level, okay, at the highest level, the company's normalized margin is -- what Tim mentioned, is 23% to 25%. And from there, you can back into what recoveries were in the year, what recoveries were in prior years. But the second point, I think, is more clear. So, for us, Gary, cost recovery is multipronged. But you look at the details, you look at the bridges Tim showed you, 80% to 85% of the year-on-year recoveries are commodities. You put that into anywhere between $240 million to $280 million, Gary. That's all that. As you see in Tim's bridges, 85% of our recoveries are in -- is either aluminum or aluminum additives or silicone, [that gives you] (ph) with a balance, which is the dialogue we have with customers on the rest, call it, the [15%] (ph), a little bit more maybe, and that's non-commodity inflation, including energy. And by the way, Tim has been consistent in the last few calls, we have fared very well with energy because we hedged. We did a good job of hedging energy in 2022. And then, what's left there is paint and other obviously labor and manufacturing costs. And the third piece of that the 15% to 20% is volatility and cancellation. So, what we're telling you is 85% was indexed. It's been indexed. Our work with customers was on the 15%. We fared well. We have to shift some of that focus now from one-time recoveries to putting it in the [piece price] (ph). And yes, there are some carryover from '21 that we're saying is not carried into '23.
Tim Trenary: So, Majdi, I can't really improve on that, but I would like to, for a moment, Gary, if I may, just go back to your previous question, which is the guide in 2023 vis-a-vis the company's performance in 2022, and I think you made reference to how it compares to certain other companies. As we've said, our performance in 2022 was somewhat boosted by customer recoveries that were really associated with 2021. I think if you go back and you compare the company's performance last year 2022 compared to 2021, as compared to our peers, you'll find that we, for the most part, outperformed because of those -- that mismatches, the customer recoveries. So, a better comp is really '23 compared to '21 vis-a-vis our peers, and I think you'll see that we still compare very reasonably in that regard. So that's a round about what I'm saying 2022 was a little unusual.
Gary Prestopino: Okay. I guess, my way of thinking is that you're so specialized, high amount of technology, in what you're producing in the wheels that you have and that you should have some modicum of success because of your portfolio and your technologies in getting these cost recoveries, because where else would the OEMs turn to.
Majdi Abulaban: Gary, that is a great point. That is -- we see ourselves as competitively advantaged in many ways. We have the technology. We have the portfolio. We have a team that is executing on all cylinders, frankly. And guess what, we have what we believe to be the most competitive, unique footprint in the industry. Gary, if you look at just this industry from a low-cost standpoint, you could argue that of all the capacity in North America, remember 50% of the wheels comes from China with 27% duties. If you look at only the capacity in metal, we have 50% of the wheel capacity in Mexico. You could look at North America, that's 30%. That's a competitive advantage when customers are trying to localize. Now, I shift you over to Europe, and I don't know if you recall my comments, but last month, the EU Commission imposed duties on wheels coming out of Morocco in addition to duties that were -- on wheels coming out of China. So, obviously, Morocco was a concern for us, right, from a pricing standpoint. So, now we're back to what we were three years ago, it just so happens that 90% of my capacity in Europe is in low-cost, it's in Poland. If you assume Poland and Czech Republic are low cost, and Turkey, we have 25% of the low-cost capacity in Europe. So, we have the product. We have the technology. We have the competitive cost. And then now we have a very much differentiated footprint where we expect the tailwind to that. And you're right that dialogues with customers, dialogues with supplier that they value very much, and they're collaborative dialogues. But we also have to demonstrate to our customers that we have [indiscernible] what we can. So, I'm very -- clearly, I'm very encouraged with how constructive the dialogues have been and our prospects for 2023.
Gary Prestopino: Okay. Thank you.
Majdi Abulaban: You're welcome, Gary.
Operator: Thank you. There's no further questions. So, I will hand it back over to host, Majdi Abulaban to conclude today's conference. Thank you.
Majdi Abulaban: Thank you everyone for joining our call today. In closing, I am very encouraged by our results this quarter and throughout the year. We look forward to continuing to execute on our strategic priorities, delivering long-term profitable growth. To the Superior team, I am very proud of what we have accomplished. Thank you for your perseverance, hard work and execution during these challenging times. Thanks, again, for joining the call, and have a nice day.
Operator: Thank you for joining today's call. You may now disconnect.